Operator: Good afternoon, everyone. And welcome to Quotient's First Quarter 2021 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded and will be available for replay in the Investor Relations section of Quotient's website following the call. At this time, I would like to hand the call over to Christine Marchuska, Vice President of Investor Relations. Yes, you may go ahead and begin.
Christine Marchuska: Great. Thank you, operator. Hello everyone, and welcome to our first quarter of 2021 earnings call. I am Christine Marchuska, Vice President of Investor Relations for Quotient Technology. And on the call with me today are our CEO Steven Boal; Pam Strayer, our CFO; and Scott Raskin, our President. The company stockholder letter has been posted on the IR section of our corporate website, investors.quotient.com, alongside our press release and earnings presentation. Before we begin, please note that during this call, you will hear forward-looking statements, including the guidance we will be providing for our second quarter and full year, 2021. These forward-looking statements are based on information available to, and the good faith beliefs, of our management team as of the time of this call and are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. These forward-looking statements and the related risks and uncertainties are set forth in the earnings presentation slides, located on our investor relations site. Additional information about factors that could actually impact on financial results can be found in our stockholder letter issued today and in the risk factors identified in our annual report on Form 10-K filed with the SEC on February 23rd, 2021, and in our future filings with the SEC. We disclaim any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Please note that operating expenses, gross margins and net loss financial measures discussed today are on a non-GAAP basis, each having been adjusted from the corresponding GAAP measure to exclude certain expenses, a reconciliation between GAAP and non-GAAP measures can be found in the financial results section of the stockholders letter issued today and in an earnings presentation slides posted on the company's website. With that, I will now turn it over to Steven.
Steven Boal: Thank you, Christine. Hello everyone, and welcome to our Q1 2021 earnings call. We started the year building upon the success of our internal transformation in 2020, as well as the continuation of the strong momentum from last quarter, as demand for our platforms and solutions from current and potential customers and partners grows. A great example of demonstrating our market leadership with the collaboration between Quotient's innovative solutions, our customers, retail partners, and ultimately consumers, is the launch of our new patent-pending promotion amplification tool, one of several exciting products making their way through our innovation pipeline and into the marketplace. Temporary price reductions or TPRs are discounts traditionally given at a grocery shelf to reduce the price of certain products for a temporary amount of time, generally a limited number of weeks. On average, CPG advertisers run over 2000 TPRs each week to promote and drive in store sales at grocery retailers. TPRs have been both a mainstay of CPG and retailer marketing, and at the same time, one of the least efficient vehicles in the industry. For example, it would be nearly impossible for shoppers to be aware of all of the available TPRs. Only approximately 10% of TPRs are featured in a retailer's weekly circular, the primary way TPRs are advertised.  Shoppers would have to walk up and down every aisle of the retailer to see items via in-store and on-shelf messaging to discover the bulk of the remaining 90% of that week's TPRs. From a retailer perspective, the manual processes behind thousands of weekly markdown products, or SKUs, or skews, are primarily kept in spreadsheets without an efficient way to communicate or measure the impact TPRs have on shoppers, has remained an ongoing challenge for decades. There was clearly a business need for a better solution that would solve the inefficiencies and suboptimal results in the current process for brands, retailers, and shoppers. After serving our retail sales teams, as well as analyzing our customers' and partners' needs, we created a digital, automated solution on our retail media platform that, in our view, would not only be desirable to brands and retailers, but would also be appreciated by shoppers, who can now take advantage of more savings targeted to their preferences during a time when every dollar matters. I'm pleased to announce that at the end of Q1, we launched our patent-pending promotion amplification tool in partnership with one of our retail network partners, Ahold Delhaize USA. This solution allows CPGs and retailers to work much closer than they generally have in the past, and it's designed to provide them with a competitive advantage by driving better price awareness, more sales and more shopper trips. An early statistic demonstrating the success of our solution was noted by PepsiCo, who participated in a test of the new tool and saw a 6.4% sales lift from the effective combination of marketing and trade budgets. We are already in talks with several of our retail partners who are interested in adding Quotient's promotional amplification tool to their solution set. Also, we see this tool opening the door to additional retailers looking to work with us. From a CPG or advertisers perspective, this capability drives demand as they see the potential to target the right audiences at the right time with pricing incentives that have traditionally not been optimally deployed all with Quotient's industry recognized and measurable results. Now, I'd like to share some additional highlights from the quarter. Smaller CPGs. A continued focus area and growth driver for us, we saw over a 100% annual growth in the number of long-tail or smaller CPG customers in Q1, and we believe we will see this growth trend continue throughout the year as this segment of CPGs is eager to utilize our digital solutions. National promotions. Although one of the areas hardest hit by the pandemic, we saw this segment continue its bounce back that started last quarter with 23% growth in bookings on a dollar basis in Q1 2021 over the prior year. We have repackaged how this product is sold and the changes have been very well received by our CPG advertising customers leading to more scale and deployments that line up with overall merchandising calendars. The certainty around dates of promotion availability and the connection to merchandising events is making it easier for CPGs to move their freestanding insert, or FSI dollars, to digital, something that is continuing to gain momentum. Retailer performance media. We saw an increase of over 170% in bookings dollars from our CPG customers in the first quarter over the prior year. In turn, our RPM retailers using this platform saw approximately 175% increase in alternative revenue streams, something that is becoming increasingly important to retailers as they face price and margin pressure in addition to challenging performance comps in the second half of the year forward. And we'll be looking to offset this with alternative revenue sources wherever possible. Digital out of home. At the end of Q1, we had inventory of over 194,000 screens nationwide, with access to over 60,000 screens in store. Our ability to use exclusive shopper data to identify the right screens and match them to the right audiences, combined with measurable ROIs, continues to drive customer demand for this offering, especially at a time when shoppers are spending more time in store due to COVID-19 testing and vaccination protocols. National rebate solutions. Since our launch at the end of last year, we have seen 125 advertisers activate on this platform. This offering, when paired with our new national promotion sales packaging, which I mentioned earlier, provides brands of all sizes a true digital option, allowing them to shift spend away from offline channels, primarily the FSI and paper circulars, to online, a more efficient and measurable format. Sponsored search. We continue to see demand for this solution as advertisers and retailers look for more ways to connect when consumers are planning and building their shopping lists and carts.  As of the end of Q1, we had over 250 of our CPG customers using Quotient sponsored search, with a growing number opting for the self-service capabilities. We have several innovations for this platform that we'll be bringing to market over the next 2 quarters, and look forward to continued growth and success of CPG and retailer engagement in sponsored search. Finally, I'm pleased to share that we continue to see growing demand for our retail network. We recently signed regional grocery chain Plum Market, as they look to our retail promotion platform to offer savings to more consumers. Additionally, we expanded our partnerships with 2 of our existing retailers, a major drug chain, who we signed for our In-Lane offering, and as I noted earlier, Ahold Delhaize USA, added our promo amplification tool to provide a more comprehensive solution to better optimize trade spend deployment and shopper engagement. We continue to focus on growing our retailer network, adding new retailers in our core and non-core verticals and expanding relationships with our current retail partners as they look to add more of our innovative capabilities to their platforms, to garner more sales and a better shopping experience for their consumers. Data analytics and measurement are one of the key components of our success and why we continue to be a market leader in our space with growing demand for our platform, from advertisers and retailers. On that note, I'm thrilled to share that we recently hired Matt Krepsik as our Chief Analytics Officer at Quotient. In this role, Matt will lead our company's data analytics and measurement strategy, and practice designed to enable our clients and retail partners to deliver high performing data-driven marketing strategies fueled by our powerful data-driven insights into consumer purchase behavior. Matt brings to Quotient a wealth of experience with more than 15 years of experience with data analysis and various managerial roles at Nielsen, where he most recently led attribution, media planning and activation products. As evidenced by his background and reputation, it is clear Matt's a visionary leader who has the ability to transform data into insights and more importantly, commercial applications. He has had Quotient on his radar for some time and believes we are well positioned to continue to be a leading innovator in the retail space, through technologies and solutions that help retailers and advertisers deliver more valuable interactions with consumers, and we're thrilled to have him on board. Moving on to our outlook for Q2 and the rest of 2021. Based on early indications, we're seeing strong Q2 bookings as well as continued healthy momentum for our pipeline for the latter part of the year. We believe this will result in revenue growth of approximately 18% in the second half of 2021, over the first half of the year. We believe the continued market tailwinds, our growth drivers and our ability to execute will propel us through the upcoming quarters in the year. Our updated annual revenue guidance for 2021 represents 15% growth over 2020 at the midpoint, and our adjusted EBITDA guidance for the year is approximately 25% growth at the midpoint. Both are higher than we previously guided our Q4 call, as we're seeing strengthened demand for our solutions witnessed through our bookings and pipeline visibility for the remainder of the year. We're doing what we set out to do, and I'm proud of our team's ability to rise to the occasion in an evolving environment to deliver on our goals, putting our key stakeholders first. I remain confident that Quotient is well positioned for growth for the upcoming quarters, year and future. And with that, I'll now turn the call over to Pam. Pam?
Pamela Strayer: Thank you, Steven. And good afternoon, everyone. My remarks will be focused on our financial highlights. I encourage you all to read the full prepared financial results in our stockholder letter posted on the investor relations page of our website. We delivered another strong quarter in Q1, as our customers look to Quotient to help them effectively deploy their promotion, advertising, and shopper spend to generate high ROI for their brands. Our retail partners continue to reutilize and in some instances, add more of our solutions to their Quotient-powered platforms to increase sales, provide better shopper experiences, and boost alternative revenue streams as they approach challenging comps in the quarters ahead. As a result, we exceeded our guidance and delivered revenue of $115.3 million, 17% growth over the prior year. If you exclude approximately $9 million from a portion of our media business that we exited in Q3 2020, Q1 2021 revenue would have been up 29% compared to the prior year. Media revenue in Q1 was approximately 40% of total revenue, increasing 17% year over year with growth across several of our media solutions. Offset by the elimination of the media business we exited in Q3 2020, if you exclude approximately $9 million from the portion of the media business we exited, Q1 media revenue would have been up 52% for the first quarter of 2021 compared to the prior year. Promotion revenue also increased by 17% year over year, primarily driven by digital paperless, which was up 29%. Momentum from Q4 2020 continued through the first quarter of this year, as brands return to more normalized promotional spend levels. Consistent with historical trends, revenues from digital print at home, and specialty retail continued to decline with Q1 revenue from these 2 categories down over the prior year. GAAP gross margin for Q1 was 37.6%, down 50 basis points compared to the same quarter last year. Non-GAAP gross margin in the quarter was 43.7%, down 140 basis points over last year. GAAP and non-GAAP gross margin decreases were primarily due to product mix, with a significant increase in lower margin media solutions, lower individual category variable margins across promotions and media, from a higher mix of shopper budget spend versus national budget spend and higher employer related expenses driven by head count growth and an increase in bonus expense. The mix of revenue from shopper versus national spend is impactful, because shopper budgets carry revenue share costs and our cost of sales while national spend has little to no revenue share and higher margins. The decreases in GAAP and non-GAAP gross margin were partly offset by an improvement in operating leverage and the elimination of the media businesses we exited in Q3 2020. Additionally, GAAP gross margin was partially offset by lower amortization of intangibles as a percentage of revenue. Non-GAAP gross margin as a percent of revenue, declined in Q1 compared to Q4, primarily due to fixed costs spread over a smaller revenue base, partly offset by seasonality-driven higher promotions product mix. We delivered $6.8 million of adjusted EBITDA in the first quarter of 2021, an increase of $1.8 million over the prior year, driven by increased revenues while operating expenses remained low due to savings and travel. Q1 non-GAAP operating expenses came in slightly lower than previously guided at $45.5 million. However, this was $4.4 million higher than the previous year. A year over year increase is attributable to increases in head count, higher commissions from increased revenues, and it was partly offset by a decrease in travel expenses. Looking at cash, we deliver cash flow from operations of $10.5 million in the first quarter. This was driven primarily by strong collections and lower prepaid expenses. The end of the first quarter was approximately $241.1 million in cash and cash equivalents of $18.3 million from the prior quarter. Now turning to guidance. As Steven noted, we are well positioned for growth in the upcoming quarters in the year. Additionally, although it's early days in Q2, we saw strong bookings in April and believe this trend will continue throughout the quarter and the rest of 2021. Therefore, we expect revenue for the full year of 2021 to be in the range of $505 million to $525 million, with a second quarter revenue in the range of $117 million to $125 million or approximately 45% growth over Q2 last year at the midpoint. As we've stated in the past, revenue mix and therefore margins for the year are difficult to predict. As expected, we felt some media seasonality in Q1. Additionally, as forecasted, we felt our bookings mix towards promotions come back stronger in Q1, and expect this trend to continue as we move through year and see more normalized spend in this area as brands look to stay relevant and mitigate rising costs inflation and tough performance comparisons in the second half of the year. We remain focused on our non-GAAP gross margins. We believe we'll benefit from expanding our self service offerings, growth in revenue from national promotions in media budgets, demand for other higher margin offerings such as digital paperless and national rebates, and the automation of processes where possible. Each of which contributing to an improvement in this metric over time. Additionally, we expect certain product revenues will be shifting over time, from gross revenue recognitions and net revenue recognition, which will not impact gross margin dollars, but generally result in higher gross margin percentages.  However, product mix remains a key component of this metric and remains the largest variable and gross margin predictability. Specifically for our Q2 outlook, we expect to see gross margins decreasing as a result of continued high proportion of shopper-based campaigns and medium promotions. Although we believe we will start to see a reversal of this trend in Q3 and the remainder of the year, as we expect to see our higher-margin promotional offerings, including more demand for national promotions, national rebates, and digital paperless offerings balancing out the demand for our media solutions. For our remaining guidance metrics, we expect non-GAAP operating expenses to be approximately 48 million to 50 million for the second quarter of 2021. Adjusted EBITDA is expected to be in the range of $2 million to $12 million for Q2. For the full year, 2021, adjusted EBITDA is expected to be in the range of $50 million to $65 million. We expect continued positive cashflow in Q2 due to the tailwinds from solid adjusted EBITDA results in Q1. The weighted average diluted shares outstanding, we expect approximately 97.1 million for 2021. We finished the first quarter of 2021 strong. From early indications, Q2 and the second half of the year are shaping up to propel us forward on our growth trajectory with customers working closer with us and utilizing more of our solutions, our retail network expanding, and our current partners ramping up their platforms to benefit from increased alternative revenue streams and provide best-in-class shopper experiences to the consumer. We look forward to providing you with updates on our progress in future quarters as we move through the year. And with that, we will now take your questions. Operator?
Operator: [Operator Instructions]. And the first question will come from Chad Bennett with Craig-Hallum.
Chad Bennett: Nice job on the quarter, and the guide for Q2 certainly looks very good. So Steven, maybe a question for you just in terms of where you think we are, or what you see in your business in terms of CPG promotions spend, where we are today versus pre pandemic, and kind of when you expect, and it's obviously a moving target, but when you expect promotional spend by the CPGs to kind of get back to pre-pandemic levels. Do you expect that this year, second half, any color there?
Steven Boal: Sure. Thanks, Chad. Thanks for the comments. So look, we all know how hard promo spend got hit last year, in particular during the pandemic. We believe that by the back half of this year, we'll be back to pre-pandemic levels, and maybe even exceeding that because as we head into a period of time where prices are going up, there are very tough comps coming year over year, given the strong purchasing that was going on in grocery during the pandemic as people moved to ordering and eating at home versus going out, that the promotional activity by CPGs and retailers is going to pick up pretty strongly in the back half. And that's evidenced by the forward bookings that we've already started to log, but also the discussions we're having with our CPG partners and retailer partners. I'll add one more point to that. We've talked at length about how the FSI is moving and those dollars are moving to digital. We rolled out a platform that effectively allows that to now happen at scale, and that's our national rebate platform, and we've been very hard at work developing partnerships for the expansion of that platform. Our objective is, in the back half, to really make that platform available to every household in America. And so stay tuned to see some exciting announcements from us on some of the partnerships we've developed, really at scale, really broad-based, that allow the CPGs to continue to move those dollars at scale. So the short answer is back half of this year, we'll be at least at pre pandemic spending based on what we can see so far, and probably over that.
Chad Bennett: Great, great color. And then a follow-up for me, maybe for either of you, Steven or Pam. So can you just sync up for me the dollar bookings increase you saw in your RPM business? I think it was 170%, I think you indicated on the call, relative to your media growth, which on a normalized basis, I think Pam talked about it growing 52% year over year. You know, if we're going to start talking more and more, which I think is a good thing, about the dollar value of bookings going across your platform, how do we sync up those two growth rates?
Pamela Strayer: Yes, it's a good question. And I would say the timing of bookings don't necessarily equate to the timing of revenue recognition, so we can get in bookings during a quarter that relate to the current quarter, or the next 2 or 3 quarters. So we are seeing tremendous, tremendous bookings in the RPM space, but how that equates into revenue, into which period, there's going to be a disconnect there. So that's why you're getting different metrics for revenue and bookings. The reason [indiscernible] just to provide more color on our booking dollars and to show you directionally what's going on.
Chad Bennett: But that level of delta, I would think, would be positive for the future. Is that what…?
Pamela Strayer: Yes, absolutely.
Chad Bennett: Okay.
Pamela Strayer: Yes, yes. We're seeing a lot of real strong signals on revenue growth, and I think our shareholder materials underscore that and get that point across. But yes, half 2 is looking good for us. The interest on our network, the interest in our business, it's really strong.
Chad Bennett: Yes, okay. And then maybe one last one from me, I apologize, and it's probably for Pam. So Pam, just looking at the guide, and I think maybe the missing component is kind of what your OpEx expectations are for the second half, relative to what you guided for Q2. But if I'm at the top end of your revenue range, and it probably depends on how much gross margin improves, getting to the top end of the EBITDA range, I think is a little more challenging. What are the puts and takes in the second half from an OpEx, or if you care to talk about gross margins?
Pamela Strayer: Yes. So let me try and put this in context, the gross margin discussion can get a little challenging and complex. What we experienced this quarter was a dramatic shift in product mix between shopper-based budgeting and national-based budgets. So we've been talking about the collaborative spend programs that have been out there now, in some cases for over a year, and as a result, we're seeing a tremendous pickup and tremendous demand for running campaigns using shopper budgets, and those carry lower gross margins than a national spend might. So that's a big mix that's going against us, and we think that's probably going to continue into Q2 just because of the strength of that collaborative spend program. But in the back half, promo opportunities are really going to pick up. Our rebate solution only launched in Q4, and like Steven said, we think that's going to be a big driver of a lot of FSI dollars moving towards us in the promo space, which is high margin dollar. So we do think that promo is going to get a pick up, and we're kind of, in the near term, we're in this point where the product mix moved against us before we could get promo growth really going on rebates. But we'll see that come back in the second half.
Chad Bennett: So it seems like, just to sum it up real quick, sorry, that relative to the June quarter, at least where we stand today, we should see a pretty material improvement in gross margin percentage in the second half based on your EBITDA range?
Pamela Strayer: Yes. So what we did with the EBITDA range was bring up the bottom half, because we're very confident now that we've got so much demand on our network that revenues are going to be strong for the year. What's a little bit more of an unknown is the gross margin percentage that we'll see. If it tends to track low, we'll have to pull in our belt on OpEx to get those EBITDA numbers, but we can manage through that. And like I said, I think that gross margin pressure will be another quarter and then it should turn around.
Operator: The next question will come from Samuel Nielsen with Oppenheimer.
Samuel Nielsen: This is Sam in for Jed. Two quick ones, more qualitative, if I could. Are you guys seeing any impact from supply chain issues, or large CPGs trying to raise prices maybe in the back half of the year given tougher comps? And then number 2, how should we view the adoption of your self-service offering and the progress it's making throughout the year?
Steven Boal: Sure. So let me take the self-service question, and then Pam will take the supply chain question. On a self-service front, we've made a ton of progress. We've spent a very good focused effort in the past many quarters lining up our business teams and our engineering product teams so that we could go ahead and start to move more and more of what we're doing to self-service. A perfect example of that would be our digital out-of-home area and Quotient's sponsored search area. But we have a roadmap ahead of us to effectively move nearly all of our product portfolio into self-service, and that includes our promotions platform. And so, sometime in next year, we would expect that actually our promotions platform would all be a self-service platform as well. So I would say I would give us very high marks on the progress that we've made so far on that. Pam, to you on that supply chain.
Pamela Strayer: Yes, I'll jump in on the supply chain question. We've been talking about supply chains for a little while, since the pandemic started. And as we mentioned in Q4, we do have customers in household cleaning and paper supplies part of the market, where they are still expressing some supply chain insecurity to us. We talked about this in Q4 and I don't think that situation has changed much. Even back then, they predicted that it'd be the second half of 2021 before they felt they would get their supply chain back to a position where they felt it was healthy and flexible. Yes, there is still a little bit of overhang there, and we expect that to be going away in the second half of this year.
Operator: The next question comes from Steve Frankel with Colliers.
Steven Frankel: On the self-service theme, is the sponsored search shift to self-service on its own enough in the near-term to have some list of gross margins in the back half of the year?
Pamela Strayer: Yes, thanks for the question, Steve. It's a good one. We are focused on self-service because it is an opportunity to get more high margin revenue, and that I would say is part of it, but it's not going to be all of it. We are disclosing that our revenue that we recognize net is still only about 2% of total revenue. The majority of our revenue is still based on growth. The uplift in gross margins in the second half will be somewhat due to self-service, but it'll also be due to national rebates, which like I said, we just launched in Q4 and we expect to have a really nice reception and growth in that area in this year.
Steven Frankel: Okay. And speaking about revenue recognition, the media business that was discontinued, is that headwind still about $9 million in Q2?
Pamela Strayer: No. That's a good question. In Q2, we actually switched from gross to net revenue recognition in that business. So Q1 of last year was about $9 million, Q2 of last year was more like about $1 million in pure gross margin, and then in Q3 the whole business went away.
Steven Frankel: Okay. So you have a $1 million headwind in Q2?
Pamela Strayer: Gross margin.
Steven Frankel: Yes. Steven, pretty impressive RPM stat, compares against the pandemic last year. What do those RPM bookings look like if we go back and say, let's benchmark these against Q1 of 2019?
Steven Boal: I think you meant Pam.
Pamela Strayer: I don't have those numbers in front of me, Steve. I apologize.
Steven Boal: Steve, are you asking us to look back at what the forward bookings looked like?
Steven Frankel: No, I guess I'm just saying what's a normal comp. That's a huge comp because you're comping against a tougher period. Maybe the business was so much smaller in '19 that it's an irrelevant question.
Steven Boal: I'm not sure you can use that as a good basis to '19.
Steven Frankel: Okay. That's fair. And then, let's just spend a couple minutes talking about your progress in building out these non-traditional retailers for you. You passed one last quarter, kept saying you had another one close. We haven't seen it yet. What's the pipeline look like of these new category of partners for you?
Steven Boal: Sure. We announced an automotive category. We were at least as specific about the categories. We've discussed the retailers want to be in control of their messaging and their timing. And so, when they go live or when they're ready to announce themselves into the marketplace, that's when we can announce them. I can tell you that continues to be the case, and it's more so every quarter. Our pipeline for additional retailers, in core and outside of core verticals, and the pipeline for expansion of our platform onto existing retailers, has never been this big. It's pages long, it's really matured, and that's largely because of 2 things. Number one, we have a focused effort against it. Under Scott Raskin's leadership, we've identified AND built out a separate team that really just focuses on growing the number of retailers and the types of retailers and expanding beyond the verticals that we're in. And when you have a focused effort against that, there's a lot of opportunity.  The second thing is that there's a lot of momentum being gained in the industry and our platform is starting to be recognized as a standard and easy to implement with. An example is we went live with Plum Markets, who's the smaller regional grocer, but we've now matured our platform to the place where anybody can tap into it. It used to be that we would only work with the larger retailers because there's a lot of effort involved, but we spent a lot of quarters getting the platform ready to basically be able to connect to anyone. And so, that capability, plus that team's focused effort on growing, you're going to see quite a bit of activity there. Again, we can't announce them before they're ready to be announced.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Steven Boal: Thank you, operator. And thank you all for joining us today. In closing, as advertisers and retailers head into what could be a challenging inflationary environment and tougher comps, we believe there's never been a better time for Quotient. We're pleased with our first quarter results and believe we're very well positioned for upcoming quarters and years. Thank you again for joining us today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.